Operator: Hello, everyone, and welcome to the Landmark Bancorp, Inc. Q2 Earnings Call. My name is Nadia, and I'll be coordinating the call today. [Operator Instructions] I will now hand over to your host, Abby Wendel, President and Chief Executive Officer, to begin. Abby, please go ahead.
Abigail M. Wendel: Thanks so much, Nadia. Good morning, and thank you for joining our call today to discuss Landmark's earnings and operating results for the second quarter of 2025. As you just heard from the operator, my name is Abby Wendel, President and CEO of Landmark Bancorp. On the call with me to discuss various aspects of our second quarter performance is Mark Herpich, Chief Financial Officer; and Raymond McLanahan, Chief Credit Officer. As we start, I would like to remind our listeners that some of the information we will be providing today falls under the guidelines for forward-looking statements as defined by the Securities and Exchange Commission. As part of these guidelines, I must point out that any statements made during this presentation that discuss our hopes, beliefs, expectations or predictions of the future are forward- looking statements, and our actual results could differ materially from those expressed. Additional information on these factors is included from time to time in our 10-K and 10-Q filings, which can be obtained by contacting the company or the SEC. By now, I hope you've had a chance to read our press release announcing results for the second quarter of 2025. If not, you can find it on our website at www.banklandmark.com in the Investors section. Landmark's second quarter results were strong. Net income in the second quarter totaled $4.4 million compared to $3 million in the same period last year, reflecting increased net interest income and controlled expenses. Diluted earnings per share this quarter totaled $0.75, an increase of 56% over the same quarter last year. The return on average assets was 1.11% and the return on average equity was 12.25%. Our efficiency ratio in the second quarter 2025 was 62.8%. I am especially pleased with these results as our strong performance is a direct result of the daily commitment and effort our associates put into making Landmark an exceptional place to work and bank. Total gross loans increased this quarter by $42.9 million or 16% on an annualized basis with strong growth in several loan categories, and our total loan balances now are in excess of $1.1 billion. As a result, this loan growth enabled our net interest income to grow by 4.3% compared to the first quarter of 2025, and our net interest margin increased 7 basis points to 3.83%. Our loan growth has increased our focus on gathering deposits from our network of community branches across our franchise. Our overall credit quality remains solid as we continue to experience low net credit losses. The allowance for credit losses on our balance sheet at June 30, 2025 was $13.8 million, or 1.23% of total loans. As our loan balances grow and as we evaluate individual nonaccrual credits, we increased our allowance accordingly. For the second quarter, we increased the allowance for credit losses by $1 million. Landmark's capital and liquidity measures are strong, and we have a stable, conservative deposit portfolio with most of our deposits being retail based and FDIC insured, thanks to the network of community-based banking centers we operate. We remain risk-averse in both monitoring our interest rate and concentration risks and in maintaining a strong credit discipline. I am pleased to report that our Board of Directors has declared a cash dividend of $0.21 per share to be paid August 27, 2025, to shareholders of record as of August 13, 2025. This represents the 96th consecutive quarterly cash dividend since the company's formation in 2001. I will now turn the call over to Mark Herpich, our CFO, who will review the financial results in detail with you.
Mark A. Herpich: Thanks, Abby, and good morning to everyone. While Abby has just provided a highlight of our overall financial performance in the second quarter of 2025, I'll provide some further detail on these results. Net income in the second quarter of 2025 totaled $4.4 million compared to $4.7 million in the prior quarter and $3.0 million in the second quarter of 2024. Compared to the prior quarter, the strong growth in net income this quarter was mainly due to continued increases in net interest income and higher noninterest income, but offset by a $1 million provision for credit losses. In the second quarter of 2025, net interest income totaled $13.7 million, an increase of $564,000 compared to the first quarter of 2025 due to continued strong loan growth and higher interest income. Total interest income on loans increased $791,000 this quarter to $17.2 million due to higher average balances and higher yields on loans. Average loans increased by $33.3 million and the tax equivalent yield on the loan portfolio increased 3 basis points to 6.37%. Interest income on investment securities decreased slightly to $2.9 million this quarter due to a decline in average investment securities balances of $14 million, but offset by higher yields on our investment securities balances. The yield on investment securities totaled 3.34% in the current quarter compared to 3.04% in the second quarter of 2024. Interest expense on deposits in the second quarter of 2025 decreased $92,000 due to lower rates and lower average interest-bearing deposits, which declined by $14.6 million. Interest on borrowed funds increased by $284,000 due to higher average balances. The average rate on interest-bearing deposits decreased 3 basis points to 2.14%, while the average rate on other borrowed funds declined 11 basis points to 4.98% in the second quarter. Total cost of funds was 2.41% for the quarter ended June 30, 2025. Landmark's net interest margin on a tax equivalent basis increased to 3.83% in the second quarter of 2025 as compared to 3.76% in the first quarter of 2025. This quarter, we provided $1 million to our allowance for credit losses after taking no provision in the prior quarter. Net charge-offs totaled $40,000 in the second quarter of 2025 compared to net loan charge-offs of $23,000 in the prior quarter. At June 30, 2025, our allowance for credit losses of $13.8 million remains strong and represents 1.23% of gross loans. Noninterest income totaled $3.6 million this quarter, an increase of $268,000 compared to the prior quarter, while decreasing $94,000 compared to the second quarter of 2024. The increase from the first quarter of 2025 was primarily due to growth in gains of $178,000 on sales of mortgage loans, coupled with an $88,000 increase in fees and service charges related to higher deposit-related fee income. Noninterest expense for the second quarter of 2025 totaled $11.0 million, an increase of $200,000 compared to the prior quarter. This increase related primarily to increases of $233,000 in data processing and $101,000 in other noninterest expense. The increase in data processing costs resulted from additional services added and account growth, while growth in other noninterest expense was primarily due to increased losses at our captive insurance subsidiary. Partially offsetting these increases was a decrease in professional fees this quarter, primarily due to lower consulting and legal costs. Noninterest expense for the second quarter of 2025 decreased by $134,000 as compared to the second quarter of 2024. The decrease relates to a $979,000 valuation adjustments taken in the second quarter of 2024 on a former branch building, which was offset by a $730,000 increase in compensation and benefits as we implement our plan to enhance the associate experience. Even with these fluctuations, our efficiency ratio improved to 62.8% for the second quarter of 2025 as compared to 67.9% in the second quarter of 2024. This quarter, we recorded a tax expense of $944,000, resulting in an effective tax rate of 17.7% as compared to tax expense of $1.0 million in the first quarter of this year or an effective tax rate of 17.8%. Gross loans increased $42.9 million or 16% annualized during the second quarter and totaled over $1.1 billion, a new record high. During the quarter, loan growth was primarily comprised of an increase in our residential mortgage loan portfolio of $21.5 million, growth in our commercial portfolio of $13.4 million and commercial real estate growth of $10.9 million. Investment securities decreased $3.6 million during the second quarter of 2025, mainly due to maturities. Pretax unrealized net losses on our investment portfolio declined $3.2 million to $13.9 million this quarter, and our investment portfolio has an average life of 4.6 years with projected 12-month cash flow of $62.4 million. Deposits totaled $1.3 billion at June 30, 2025 and decreased by $61.9 million on a linked quarter basis. Compared to the same period a year ago, however, total deposits are up $23.4 million or 1.9%. Compared to the prior quarter, interest, checking and money market deposits declined by $50.5 million this quarter, while noninterest checking decreased $16.5 million. Partially offsetting the decline, certificates of deposits grew by $6.2 million. The decline in money market and checking accounts was mainly driven by a decline in broker deposits on the last day of the second quarter, leading to a corresponding increase in overnight borrowings from the Federal Home Loan Bank at quarter end. Average interest-bearing deposits, however, decreased by $14.6 million in the second quarter of 2025, while average borrowings increased by $23.6 million during the quarter. Our loan-to-deposit ratio totaled $86.7 million at June 30 and continues to provide us sufficient liquidity to fund future loan growth. Stockholders' equity increased $5.7 million to $148.4 million at June 30, 2025, and our book value increased to $25.66 per share at June 30 compared to $23.59 per share at December 31. The increase in stockholders' equity this quarter mainly resulted from a decline in other comprehensive losses due to lower net unrealized losses on our investment securities, along with net earnings from the quarter. Our consolidated and bank regulatory capital ratios as of June 30, 2025 are strong and exceed the regulatory levels considered well capitalized. The bank's leverage ratio was 9.2% at June 30, 2025, while the total risk-based capital ratio was 13.6%. Now let me turn the call over to Raymond to review highlights of our loan portfolio and credit risk outlook.
Raymond L. McLanahan: Thank you, Mark, and good morning to everyone. As mentioned earlier, we enjoyed continued loan growth throughout the quarter, mainly due to increases in our residential mortgage, agricultural, commercial and commercial real estate portfolios. Gross loans outstanding at quarter end totaled $1.1 billion, an increase of $42.9 million, or 16% on an annualized basis from the previous quarter. We experienced growth across most of our portfolios. Our residential mortgage loan portfolio increased $21.5 million this quarter due to continued demand for our adjustable rate loan products that we retain in our portfolio. Our commercial portfolio increased $13.4 million and our commercial real estate portfolio increased $10.8 million. Turning to credit quality. At June 30, 2025, nonperforming loans consisting mainly of nonaccrual loans, increased $3.7 million from the prior quarter and totaled $17 million. The increase was primarily related to 2 commercial real estate credits placed on nonaccrual during this quarter. One such loan totaling approximately $1 million is an owner-occupied facility secured by a building and conservatively margined. A second such loan of approximately $2.6 million was placed on nonaccrual this quarter and is secured by an office building and, again, conservatively margined. This loan was brought current just after quarter end. Total foreclosed real estate ended the quarter at $167,000. The balance of past due loans between 30 and 89 days still accruing interest decreased $5.6 million this quarter and totaled $4.3 million, or 0.39% of gross loans. We recorded net loan charge-offs of $40,000 during the second quarter of 2025 compared to net loan recoveries of $52,000 during the second quarter of 2024. Our allowance for credit losses totaled $13.7 million and ended the quarter at 1.23% of gross loans. And as Abby mentioned, as our loan balances grow and as we continually evaluate our individually analyzed nonaccrual credits, we adjust our allowance accordingly. Turning to kind of the economy in Kansas. The current economic landscape in Kansas is healthy. The preliminary seasonally adjusted unemployment rate for Kansas as of June 30 was stable at 3.8% according to the Bureau of Labor Statistics. In terms of housing, the Kansas Association of REALTORS recently reported total home sales in Kansas fell 2.5% last month compared to June of 2024. The median sale price in June was up 5.6% from a year earlier. The association also reported that homes that sold in June were typically on the market for 8 days and sold for 100% of their list prices. With that, I thank you, and I'll turn the call back over to Abby.
Abigail M. Wendel: Thanks, Raymond. Before we go to questions, I want to summarize by saying we were pleased with our results in the second quarter. Growth in loans, margin expansion and higher noninterest income all contributed to solid revenue growth. We are focused on maintaining solid credit quality given the uncertainties in the economy, and we continually look for efficiencies in our operation. With the operating successes we've had over the past few years and the high-quality banking products and services we offer, our bank is positioned to further grow our business and add to our customer base. We continue to work on strengthening our existing customer relationships, and we are focused on growing our lending and fee businesses across all our markets. Finally, I'd like to thank all the associates at Landmark National Bank. Their daily focus on executing our strategies, delivering extraordinary service to our customers and communities is the key to our success. With that, I'll open the call to questions that anyone might have.
Operator: [Operator Instructions] We have a question from Grant LacKamp of Kornitzer Capital Management.
Grant LacKamp: Congrats on the quarter. I wanted to start on the loan side of the book. You provisioned roughly $1 million this quarter, and you gave a lot of commentary in the prepared remarks on what's going on behind the nonaccruals. But just wondered if you could provide any further commentary there. Do you feel like you're adequately reserved at this point? And how should we expect nonperforming loans to kind of trend over the course of the next 6 to 12 months? Any color you could provide there would be great.
Abigail M. Wendel: Sure. Grant, this is Abby. I'll provide some initial commentary and then, of course, Raymond can jump in if we need to. I mean first of all, taking kind of the last point about being adequately provisioned. As you know, we go through a robust program to determine that level. And I do think that we are adequately provisioned, and the $1 million is primarily being added to the provision due to the loan growth that we experienced in the quarter. We look at especially the nonaccrual loans on an individual basis and have an in-depth process. As Raymond mentioned, the big driver in the jump, if you will, from the last quarter to this quarter was that $2.6 million credit that has since been brought current. So our numbers are already headed in the right direction for the third quarter. And honestly, I expect that probably that trend to continue. There are a couple of things, and we've talked about this in prior quarters related to a large loan that's on nonaccrual. And -- but beyond that, that's probably the amount of detail that we can share on the call.
Grant LacKamp: Okay. That's great. I guess maybe switching back over to the liability side of the book. Deposits kind of ticked down in the quarter, and I would guess there's a lot of just seasonality to that. Anything outside of just normal seasonality that you'd call out there? And then it looks like backfilled the deposits with some Federal Home Loan Bank borrowings, which is pretty typical. But any thoughts behind your strategy you might have on the Home Loan Bank borrowings?
Abigail M. Wendel: Yes. I think actually, I'm not going to comment on the Home Loan Bank borrowings. Of course, Mark can add some color on that, but let me address kind of a broader strategic question. I mean we have 29 bank locations across the state of Kansas, and we are looking at those deposit delivery channels in terms of how we're serving members of our community, what is the customer expansion opportunity. We have some new ways to take a look at our opportunities to better serve customers and to serve customers that maybe occupy only one side of the balance sheet and deepen those relationships. So that's a giant opportunity for us. I would say, second half of the year, we have some big initiatives to gather more deposits and primarily through the branch network. We have a great opportunity to do that, and we fully plan to engage our teams in that work.
Mark A. Herpich: Yes. And Grant, I might supplement Abby's comments by addressing the Federal Home Loan Bank. We still have -- I think between the Federal Home Loan Bank and the Federal Reserve Bank, we still have around $150 million of capacity. It was a little higher at quarter end than we usually have. As we noted in the prepared remarks, we also participate in an ICS promontory network of using some brokered funding as well at lower cost than the Federal Home Loan Bank. And just on that 1 day, we were unsuccessful in our bids. So we had a 1-day blip that flipped the numbers by about $40 million right on June 30. So the deposit levels historically, I don't see any concerns on the deposit mix that we have. The Federal Home Loan Bank rate lines and the borrowed funds are a little higher than [ they would see ], but we think that the cash flows coming off of the investment portfolio, that we'll continue to see that -- those levels diminish and pay down the borrowings over the next year as well.
Abigail M. Wendel: Yes. And all that to be said, I would just summarize by saying we feel really fortunate that we're having high-quality, strong loan demand, and we want to continue to support that growth with high-quality deposit base as well.
Operator: [Operator Instructions] It appears we have no further questions. I'll hand back to you, Abby, for any closing comments.
Abigail M. Wendel: Great. Thank you so much. I want to thank everyone for participating in today's earnings call. I appreciate your continued support and confidence in the company. I look forward to sharing news related to our third quarter 2025 results at our next earnings conference call. Have a great day, everyone.
Operator: Thank you. This now concludes today's call. Thank you all for joining. You may now disconnect your lines.